Operator: Good morning everyone and welcome to the Corn Products 2007 Fourth Quarter Earnings Call. As a reminder, this call is being recorded. At this time, it would be my pleasure to turn the call over to the Director of Investor Relations, Mr. David Prichard. Please go ahead sir.
Dave Prichard - Investor Relations: Thank you, operator and good morning to everyone. Welcome to Corn Products International's conference call to discuss our 2007 fourth quarter and full year financial results, and our 2008 earnings guidance and outlook, both of which were announced in press releases issued earlier today. I am Dave Prichard, Vice President of Investor Relations for Corn Products. Joining me today to lead the call, as usual, are Sam Scott, our Chairman, President and Chief Executive Officer; and Cheryl Beebe, our Vice President and Chief Financial Officer. This is an open conference call, simultaneously broadcast on our website, at www.cornproducts.com. The charts for our presentation this morning can be viewed and downloaded from our website and they are always available about 60 minutes ahead of each conference call. Those of you who are using the website-broadcast mode for this conference call are in listen-only mode. Sam Scott and Cheryl Beebe will deliver this morning's presentations and they will indicate as they move from chart to chart, so those of you using our slides from the website can easily follow along through their presentations. Now, I've just shifted to chart two, which is our agenda. Cheryl Beebe will present the financials for the fourth quarter and the full year with appropriate analysis and flavor. Following that, Sam Scott will comment on our company's overall performance and key developments in 2007, take a brief look back at our 10-year results and then discuss our 2008 earnings guidance and outlook, before we move to your questions. I've now shifted to chart three, which is our forward-looking statement. Our comments within this presentation may contain forward-looking statements. Actual results could differ materially from those predicted in those forward-looking statements, and Corn Products International is under no obligation to update them in the future as or if circumstances change. Additional information concerning factors that could cause actual results to differ materially from those discussed during today's conference call or in this morning's earnings and guidance press releases, can be found in the company's most recently filed Annual Report on Form 10-K and reports on Form 10-Q and 8-K. Finally, statistical and financial information and reconciliations of non-GAAP numbers from this presentation are also available on our website, at cornproducts.com, and as you will see, are included as an appendix to this morning's slide presentation. With that, I am now pleased to turn the conference call over to our Vice President and Chief Financial Officer, Cheryl Beebe. Cheryl?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thank you, Dave. Good morning, everyone. We're pleased to report another solid quarter of earnings growth and another record full year of results for 2007. I'll start with a review of the fourth quarter and then move on to our full year performance. I am starting with chart five, the summary income statement for the quarter ended December 31, 2007. Net sales grew to $895 million, up 30% or 208 million versus the same period last year. This is the 8th consecutive quarter of net sales growth. As we will see on the next chart, all three regional businesses contributed to the increase with double-digit gains. About 29 million of the net sales growth is from DEMSA, Getec and the SPI Polyols acquisitions. Gross profit dollars are up 34% or $36 million, to 143 million versus last year. The gross profit margin increased to 16% compared with 15.5% last year. As we saw in prior quarters in 2007, strong pricing actions across the three regions more than offset the major increase in corn costs, and the slight increase in total energy costs versus last year's fourth quarter. On a quarter-over-quarter basis, North and South America results reflected margin recovery. Operating expenses increased 18% or about $10 million. The increase resulted from higher compensation-related costs, driven by the company's strong earnings and the impact from stronger foreign currencies. Operating expenses as a percent of net sales, in the fourth quarter were 7.2%, down from last year's 8% and essentially unchanged sequentially from the third quarter of this year. Once again, we are in line with our forecast earlier in the year, of 60 to 65 million per quarter. Operating income increased 43% to $81 million versus $57 million last year. The fourth quarter operating income margin climbed to 9% compared to 8.3% a year ago. Net financing costs for the quarter were 9 million versus 6.7 million last year. The 2.5 million change in net financing cost was the result of an unfavorable impact of lower capitalized interest and swings in foreign exchange. The fourth quarter tax rate was 34.1% versus 31.5% last year. Net income rose 40% to $46 million versus $33 million a year ago, with diluted earnings per share of $0.61 versus $0.43, a 42% improvement. Weighted average diluted common shares in the quarter were unchanged, at about 76 million shares. During the quarter, the Board of Directors authorized a new 5 million share repurchase authorization, expiring in 2010, given that the previous 4 million share buyback authorization was nearly complete. In the quarter, we repurchased about 1.19 million shares at an average price of $37.69. Turning to chart six, we can see double-digit net sales growth for all three regions, led by South America with a strong 42% increase, or $82 million. North America up, 26% or 105 million, Asia/Africa at 23% or 21 million were the strongest quarterly sales gain in 2007. Looking now at chart seven, the net sales variance analysis, we see the strong price/product mix increases drove the company's net sales growth. Price/product mix accounts for about 81% of the net sales increase in the quarter. In dollar terms, this represents about $168 million. The increase in net sales from translation of our foreign operations contributed about 48 million or 23% of the net sales increase in the quarter. Volume fell slightly at about 1.3 or 8.5 million. Regionally, North America's net sales growth of 26% consists of a 27% increase in price/product mix, followed by a slightly favorable change in the exchange rate, of 3%. However, volumes were off about 4%. South America's growth of 42% includes a 22% improvement in price/product mix, 17% from stronger currencies and volume growth of about 3%. Asia/Africa's 23% net sales growth was led by a nearly 20% increase in price/product mix and a 3% favorable change in currencies. Volumes were essentially unchanged. Now let's move to chart eight for operating income by geographic segment. North and South America's operating income percentage gains are nearly identical. North America was up 46% or $15 million for an operating margin of 9% versus 7.8% last year. South America's operating income rose 47% or 12 million, for an operating margin of 13.6% compared with 13.2% a year ago. Asia/Africa's operating income dropped 10% or about 2 million, which was sequentially less than the third quarter decline of 42% or almost $5 million. Improvements in China, Kenya and Thailand well, each by itself quite small, collectively helped to partially offset lower South Korean profits, a trend we said on the third quarter call will continue into the fourth quarter. Excluding the South Korean business, the division's operating income was up slightly. Compared with the last year's fourth quarter and a continuation from the third quarter of this year, the South Korean results were impacted by significantly higher corn and ocean freight costs as well as lower volumes. This will continue into 2008, as Sam will discuss in the 2008 outlook. The final chart for the quarterly review, chart nine is the estimated source of diluted earnings per share. Changes from operations contributed $0.22; $0.15 from margins and $0.07 from currencies. Non-operating changes provided a negative $0.04. Both financing costs and the effective tax rate, each were a negative $0.02. Now let's review the full year 2007, a record year across key performance measures. On chart 11, the summary income statement for 2007, net sales were a record $3.39 billion, the first year we have exceeded the 3 billion and a 29% increase or 770 million from last year's 2.62 billion. Gross profits rose 41% to 586 million, an increase of 170 million. Gross profit margins improved to 17.3% from 15.9% last year. Corn costs rose significantly for the year, but the energy cost increase was slight. Operating expenses were higher by 23% or about 47 million, again from higher compensation-related costs. Operating expenses of acquired companies and stronger foreign currencies impacting translation were the drivers. Operating expenses as a percent of net sales, declined slightly to 7.3% in 2007 versus 7.7% in 2006. Net financing costs were up 53% from last year or $15 million. The effective tax rate of 33.5% for 2007 was favorable versus 35.3% in 2006, primarily reflecting the effect of a change in the company's income mix for 2007 versus 2006 and the recognition of tax benefits during the year. Bottom line net income improved 60% to a record $198 million, or about $74 million higher than in 2006. And diluted earnings per share reached a record $2.59, up 59% from $1.63 in the prior year. Included in our EPS of $2.59 was a $0.05 gain in the third quarter from the company's CME Group shares, following its merger with the CBOT in July. Diluted weighted average shares for the year were up slightly. Chart 12 and 13 present the net sales growth for the company of 29% and by region. All three regions delivered double-digit net sales growth, led on a percentage basis by South America at 38% and on a dollar basis by North America, with an increase of 464 million. By category, price/product mix contributed about 24% of the improvement or 632 million, followed by stronger currencies at about 4% or 106 million and volumes at 1.3% or nearly 32 million. On a regional basis, North America's 29% increase was driven almost totally by price/product mix at 28.5, followed by a slight favorable currency at 1.2%. Volumes were off only a 0.5%. In South America, the 38% net sales gain was across the board with favorable price/product mix, currencies and volumes. Asia/Africa's net sales growth of 14% was led by price/product mix and favorable currencies with volumes essentially flat. Turning to chart 14, operating income by geographic segment; we can see the significant growth in North America, $234 million versus 130 in 2006 or a very strong 80% increase. Operating margins grew to 11.4% from 8.2% in 2006, and only 4.1% in 2005, demonstrating the major profitability recovery in the region. South America, completing a strong rebound from lower operating profits in 2006 had a 37% increase in operating income or $31 million to record a 115 million. This was led by Brazil as well as solid performance in the Andean region and positive impacts from the DEMSA and Getec acquisitions. Finally, Asia/Africa had a disappointing 15% decline in operating income to 45 million, from 53 million in 2006 or about $8 million, due to the previously mentioned cost and volume pressures faced by our South Korean business, whose results weakened in the third and fourth quarter of 2007. Pakistan enjoyed yet another year of solid growth. Corporate expenses were 47 million for the year, up 4 million from 2006, as a result of increases in compensation-related costs. Overall, the company's operating income was up 55% to a record $347 million from 224 million a year ago. The next chart, chart 15, shows the estimated sources of diluted earnings per share for the year. Not surprisingly, the year's EPS improvement was driven by change in operations, which accounted for a $1.05 per share. The improvement in operations is $0.93 from margins, $0.12 from stronger currencies. The $0.09 decline from non-operating items consisted of $0.12 from higher net financing costs, with declines of $0.02 each from minority interest and shares outstanding, partially offset from a positive $0.07 from the lower effective tax rate. Chart 16 is the cash flow highlights for 2007. We are pleased that cash provided by operations reached a record $258 million versus 230 million in 2006, driven essentially by the higher net income. Cash invested in the business includes a 174 million for capital expenditures and 59 million for acquisitions. $33 million was used for dividends and 39 million for share repurchases. Let's conclude the financial review with the key metrics as of December 31, 2007, which is chart 17. This chart reflects the company's strong balance sheet and excellent liquidity. But the most gratifying component is the return on invested capital of 11.4%, which is up significantly from 7.5 in 2006 and 6% in 2005, and marks the first time we had exceeded our cost of capital. Debt to total capital remained solid at 26.6%, basically unchanged from year-end 2006, while debt to EBITDA is 1.4 times against 1.6 times last year. Operating working capital as a percent of net sales was 11.6% versus 10% in 2006, reflecting investments made to support the growth of our business. Lastly, net debt, which is total debt less cash, 447 million at year-end compared with 423 million a year ago. All in all, 2000 (sic) [2007] (18:00) was an impressive year on all fronts. Now to recap 2007 highlights and discuss our guidance and outlook for 2008, I will turn the call over to Sam.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thanks Cheryl, and good morning to all. I'll comment first on 2007 and then review our 2008 outlook, before I take your questions. Turning to slide 18, our record year in 2007 for net sales, operating income, net income, earnings per share and operating cash flow was essentially gratifying for all of us for several reasons. First, 2007 was our tenth year as a public company; and second, because we have now reached or exceeded our five... key five-year strategic and financial targets, that we planned to meet by the end of 2008, when they were announced to the street in 2004. Our earnings per share has compound 25% over the last four years, versus our goal of low double-digit. We also exceeded $3 billion in sales for the first time along with operating income of over 300 million. Perhaps the most satisfying result in 2007 was a record return on capital employed of 11.4%, which Cheryl already mentioned. Given our strong earnings growth and cash flow, we also raised our quarterly dividend to 22% in September of 07 and put in place a new 5 million share repurchase authorization in November. In February of 2007, we completed our acquisitions of SPI Polyols in the U.S. and the remaining 50% of our Polyols joint venture in Brazil, in a move to broaden our sweetener platform. Our strong results demonstrated that our businesses performed well in what obviously was and continues to be an unprecedented period of high and more volatile commodity prices around the world. Looking at slide number 19, regional highlights for 2007; our record results in North America in 2007 were very strong on the heels of a solid 2006 increase in the region. Net sales surpassed $2 billion for the first time and operating income jumped 80% to a new record level, and our new SPI Polyols business is successfully integrated. Our South American business clearly rebounded strongly from 2006 with record sales and operating income led by a strong Brazil and improvements in the Andean region. The Southern Cone successfully managed through rising corn and energy costs and our acquisition of DEMSA in Peru and the rest of Getec Polyols in Brazil also were successfully integrated. Unfortunately, our Asia/Africa region reported lower profitability from the decline in South Korea, even though regional sales were up 14%. I'll discuss South Korea in detail during my 2008 outlook comments. We saw another record year in Pakistan and we are investing for new grind capacity in that country. Turning to slide 20; 2007 is a milestone year for the company. As I mentioned earlier, it marked our tenth anniversary as a publicly traded company following the spin-off from CPC International. During the past decade, our company's net sales increased from 1.4 billion in 98 to 3.4 billion in 2007. And operating income grew from 84 million to $347 million. Cash flow from operations increased from 90 million at the end of 1998 to 258 million at the end of 2007. And finally, our market capital grew from 1.1 billion to approximately 2.75 billion by the end of 2007. Let's now turn to 2008, the outlook, which is slide 21. We announced in a separate press release this morning that we expect record diluted earnings per share in 2008 in the range of $2.65 to $2.85 per share, versus an EPS in 2007 of $2.59, which included a $0.05 gain in the third quarter from our CME Group shares. Like last year, we were able to provide annual earnings per share guidance at this time rather than after the first quarter in April, because the U.S. and Canadian strong contracting season was completed by the end of the year 2007. We also expect net sales to reach $3.7 billion versus 3.39 billion in 2007 and our return on capital employed continue to exceed ROCE minimum of 8.5%. Finally, we estimate capital expenditures in 2008 of about 200 million, largely reflecting continued spending begun in 2007 on attractive growth projects, including Polyol investments in the Americas and new modified starch capacity in Mexico. Product channel expansion also continues in such countries as Argentina, Colombia, Mexico, Pakistan and Thailand to support local demand growth in those countries. Turning to slide 22, our outlook for higher 2008 earnings is due to expectations for continuing growth in North and South America. Our U.S. and Canadian businesses have again achieved higher contract pricing in 2008 across their starch and sweetener book of business. When coupled with our grain-related, our fee-based business and multi-year contracts, overall pricing in 2008 for our entire book of business has increased in the low double-digit range in the U.S. and Canada. We continue to manage commodity risks by balancing our portfolio of firm price and fee-based contracts and by balancing the appropriate mix of annual and multi-year contracts in our U.S. and our Canadian businesses. Regarding Mexico, open trade with the U.S. for sugar and high fructose took effect on the NAFTA on January 1, 2008 as scheduled. We do expect our sales volumes in Mexico in 2008 to exceed our 2007 volumes. We also expect our sales of high fructose in Mexico to exceed... in 2008 to exceed 2007 sales, and we expect our three plants in Mexico will operate essentially at full capacity this year. The additional... the amount of additional high fructose volumes exported to Mexico from the U.S with the open borders is still difficult to predict at this early stage, but we do expect an increase over 2007 levels of exports. We are pleased that the borders have opened up and have long supported free trade between the two countries. We see improved results for South America in 2008, as a result of more growth in Brazil and better performance in the Southern Cone. We saw in 2007, we believe that our South American business model should allow for the pass through of increased corn cost this year as much of the business is spot or shorter term in nature. Finally, profitability in Asia/Africa... in the Asia/Africa region is expected to decline in 2008. This is due to what we believe, will be lower operating income in South Korea. This downward trend in South Korea accelerated in the third and fourth quarters of 2007 and is expected to continue into 2008. As a result, South Korea's first half in 2008 is probably going to be low than the same period in 2007. While we expect to aggressively raise prices in that area, we are forecasting a hit on the volume side. We have started a number of initiatives to try to lessen the impact of rising corn and freight costs. As I mentioned on the last quarterly call, we are pursuing other ways of lowering our cost of corn shipments versus the traditional bulk shipments and evaluating new sources of corn supply. We also will continue to look at our cost structure in this business. It is not yet clear if import competition from China will ease in the months ahead, given China's announcement concerns about retaining corn supplies and corn-based products within its own country. In addition to the price and supply chain initiatives, we will begin introducing new products developed in South Korea, as well as products from North and South America. We do believe, our South Korean business will again become a strong contributor to our company's business portfolio. I would note that South Korea's lower performance is masking improved results in other parts of the region. Both Pakistan and Thailand should post improved results in 2008. Turning to our final slide, number 23, we continue to focus on successful execution of our five-step Pathway Strategy in 2008, our global and improvement initiatives we launched some four years ago. This includes achieving excellence in operating our base businesses; selectively growing the base business; expanding our product portfolio through alliances, joint ventures and acquisitions; expanding into new high-growth geographic regions such as China and India; and becoming more of a value ingredient supplier. We have the balance sheet and the liquidity to continue to make good strides in all of these areas. We are investing in the business with our $200 million capital expansion budget this year, and we continue to evaluate a number of possibilities on the acquisition and alliance front, as well as new ingredient opportunities, all of which are consistent with the elements of our Pathway Strategy. As is the case in any year, we see both opportunities and risks ahead of us in 2008. But all in all, we continue to enjoy a very healthy balance sheet, and we are optimistic about another year of solid earnings and sales growth, good returns and strong cash flow. Finally, I announced a week ago my intention to retire from the company's Chairman, CEO and President, following the identification of my successor and the completion of a smooth transition period. As some of you know, I have been with Corn Products International for nearly 35 years. The bylaws of our company require that an officer retire at the age of 65. This is the start of what I am confident will be an orderly, smooth and thoughtful transition process. For the company and for myself personally, I think it's the right time to begin this process. Our business is strong. We are well positioned for success in the years ahead and with a strong balance sheet and the right strategy in place. I look forward to working with our Board in the months ahead to accomplish an efficient transition. And with that, I am prepared to take your questions. Question And Answer
Operator: [Operator Instructions]. And we will take our first question from David Driscoll with Citi.
David Driscoll - Citigroup: Great. Good morning everyone.
Dave Prichard - Investor Relations: Hey David.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Good morning David.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Hey David.
David Driscoll - Citigroup: First off, congratulations on a good strong finish to 2007, and then a good solid outlook for 08. Also Sam, I'd just like to say that, I certainly think that there is a whole lot of us out here that are sad to hear that you are retiring, we certainly wish you the best and we think you've done an excellent job.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well David, thank you very much for all of those comments.
David Driscoll - Citigroup: A couple of issues just wanted to go over. First off, Cheryl, this has been a long-held discussion between you and I on uses for cash. Well, I have to say that I am... I have been very thrilled to see what's been going on here with the share repurchase. Can you talk to us really what's going on internally here, was this more of an opportunity with the share price down as much as it was during the fourth quarter? Would that be the principal catalyst for why we saw such a large share repurchase during the quarter? And then, can you comment on what we could expect for 2008?
Cheryl K. Beebe - Vice President and Chief Financial Officer: I think there's two things that we saw in the fourth quarter; one was definitely the share price undervalued from our point of view, and the second is the cash generation that the business continues to throw off. And so, in terms of timing of acquisitions and new business opportunities, barring something out there, we'll continue to buy back shares.
David Driscoll - Citigroup: Sam, can you talk about your confidence in South America? Have you raised prices yet to account for the higher corn prices? I don't think you mentioned that within you prepared comments.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes David. We continue to raise prices throughout South America. We've been able to push them through as you could see from the results last year. Going forward, we intend to do the same thing and the team down there is doing it as we speak. Corn is all over the place around the world on the price side of it and we will just move prices as best we can, as soon as we can, to accomplish bringing it back to the bottom line.
David Driscoll - Citigroup: Yes. Let me go after this one, one more time to make sure. Can you say right now that the $5 corn that we see out there on the CBOT, is that level of corn priced in... have those price increases already flow through on those product line or is there still a lot of work yet to do in that South American... in your markets there?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: The current levels, for the most part, priced in, obviously, if corn were to move, we have to move again. But the guidance that we have given has taken into account the current market that we have outside... in South America and around the world right now.
David Driscoll - Citigroup: And I just have a couple other quick questions. Volume growth, this is the one thing that I would imagine that you guys probably want to see pick up from the pace that it was in 2007. Sam, you've been investing reasonably well within the business, but yet we are not really seeing it on the volume side. I think collectively, volumes were up what; just 1% are they about for all of 07. Can you talk to us about what's the algorithm, what should volume growth be, not just in 08 but beyond, in 09 and 010? What's a reasonable type of metric to look for corn products?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: David, certainly as we said in the prepared text, we are investing as demand grows around the world and we see substantial growth in South America and in Asia. The North American business environment, U.S and Canada, has been impacted by a couple of things; some of which is the slowdown in the growth of high fructose, some of which is the outlook and perhaps even the current state of the economy right now. But it has definitely slowed down, we've seen that. But we do believe that we are seeing growth every place else in the world, including Mexico, it's part of our North American business. Some of the investments that we have made, a reasonable amount of them, have been to shift the grind from one product to another however, so as to be able to accommodate any slowdown that we might see in the base sweetener businesses we have and transfer that grind to higher return products for our overall business performance going forward. So we definitely see growth in South America. We definitely see growth in Asia/Africa, on volume, I am talking about, and we see growth in Mexico. We do expect U.S and Canadian businesses to remain relatively flat going forward and we will be shifting the grind away from fructose to higher valued products.
David Driscoll - Citigroup: Would that all blend out to like the 1 to 2% type of rate in 08 and 09?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I would say, that or above. I think that we certainly are going to see with the kind of growth we are looking at around the world volume-wise, I think we are going to see it more in the 3 to 4, maybe 3 to 5% range.
David Driscoll - Citigroup: Okay.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: That's assuming David that the world doesn't fall apart. I mean obviously, if the world goes into recession, metrics change. But right now, we are looking at those kind of numbers.
David Driscoll - Citigroup: Final question, Cheryl, interest expense guidance for 08 and I will pass it on.
Cheryl K. Beebe - Vice President and Chief Financial Officer: I think it's around the same level that we saw this year.
David Driscoll - Citigroup: Super. Thanks a lot everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thanks David.
Cheryl K. Beebe - Vice President and Chief Financial Officer: You're welcome.
Operator: And we'll take our next question from Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley: Hi, good morning everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Vincent, how are you?
Vincent Andrews - Morgan Stanley: Good, thank you. Sam, again congratulations on your retirement.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Vincent Andrews - Morgan Stanley: Can you just... you guys spent another... you guys spent about $200 million on CapEx this year. Can you just kind of remind us again of, what the key projects are within that spent?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes. We are spending a reasonable amount on the Polyols business that we got into with the acquisitions last year. We already had some business in Polyols that we see that as a good opportunity in the Americas. We believe, we are the leader in Polyols in the Americas today and we want to reinforce that position, both with the crystalline as well the specialty polyols that we are dealing with. We announced that we were investing in a specialty starch channel in Mexico; that investments continue and it will continue to grow. And then, we are seeing... back to David's question, we are seeing pretty good growth throughout South America right now. So we are putting new capacity in Colombia, in Argentina. We are doing some work in Brazil. We are looking at Mexico, Pakistan, Thailand, all of which we're expanding, because we see volume growth in those areas. And in the U.S and Canada, as I said before, we'd able to accomplish the shift of grind where needed. A: Vincent Andrews: Okay. And would you say that... the projects that you want to do that you are not doing from a capital perspective or from... I mean from a gross capital perspective or are there things you are not doing just because you're worried that the returns wouldn't be acceptable?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, we won't do things if the returns aren't acceptable.
Vincent Andrews - Morgan Stanley: A real question is, could you be spending more in CapEx on high return projects than you are?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think that we try to prioritize them. So what you see are the highest return projects that we can have and it goes on down the line. However, if something new pops up and they always do, we will re-evaluate my... the ELC [ph] and I meet on a regular basis and look at where we are spending our money. That's not to say that we would cut a project off midstream because something better came along, but it is to say that we would reprioritize how we spend. I think that we have substantial opportunities. As we look forward, we see opportunities for both new growth in the base, as well as opportunities for growth in some other areas and it's just lining those up and punching... hitting the punch list to get them in place.
Vincent Andrews - Morgan Stanley: Okay. And Cheryl, do you anticipate... you obviously, in year five of your Pathway Strategy, I mean when do you think, we are going to get the next evolution of the Pathway Strategy?
Cheryl K. Beebe - Vice President and Chief Financial Officer: I think that as Sam said with his retirement and a new CEO, I would imagine that by either the end of this year or beginning of next year, we see the next evolution. I don't think anybody sees a change in the strategic direction; it's just where do we expect the growth to come from.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: And how do we accelerate it. I think that's going to be... those two things Cheryl's point of where does it come from and how do we accelerate the movement along the ingredient strategy or key challenges in front of the organization going forward.
Vincent Andrews - Morgan Stanley: Okay. And then my last question is just, you've put a new management in place in Korea and is there anything else you want to tell us about they are doing down there differently relative to before?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think they are really cranking through all of the alternatives and options we have to get that business back on track and I am very pleased with what I am seeing them do right now. Both from John all the way through the senior management in Korea itself, we are starting to push some things that hopefully we see traction on shortly.
Vincent Andrews - Morgan Stanley: Okay, thank you very much.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: You're welcome.
Operator: And we will take our next question from Ann Gurkin with Davenport & Company.
Ann Gurkin - Davenport & Company: Good morning.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Good morning Ann. How are you?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Ann Gurkin - Davenport & Company: Continuing with discussion on South Korea, can you talk about what you modeled for the economic outlook for South Korea for 08 and then just taking that economic outlook globally, have you tempered expectations for weaker economies? Can you talk about that?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, certainly within the guidance, we have given our assessment of what we think the economic growth or actual growth, or lack thereof around the world would be. Specific to South Korea, we don't see anything improving dramatically over there, although we do see the possibility in our business, of China moving back out of South Korea. We're evaluating that very closely and to see if in fact some of which China... the Chinese government has said they actually do, because that would be beneficial for us. But what we plan going into this year is, as I said in the prepared text, we will because of corn have to raise prices aggressively and we expect that could hit volume in the business. So we are not looking at strong volume growth in Korea, both impacted by the commodity situation as it exist today, as well as what could be a slowdown just in the world of economic situation. But again, that's all in the numbers and certainly, we are going to be pushing to see if in fact we can either forestall the loss of volume due to price increases or other things to improve the overall business performance of that country. But in general, we believe that there will be some forms of slowdown. Most of it will impact the industrial side of the business. We tend not to see even in recessionary times, the food side does not get hit too badly because people continue to eat, drink and be merry or be sad, whichever. But certainly, on the industrial side of it, we do see paper and corrugating slowing down somewhat.
Ann Gurkin - Davenport & Company: Okay. And then, is it still possible to reach high teens operating profit in South America? Is that still a fair target?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think certainly, we look to higher numbers. But I think again as I try to explain our margin situation, as we see commodity prices continue to escalate, our focus is on better profitability and better operating income more so than the margin that we've been able to drive through that. Those numbers as they get higher and higher... back to David's question, can we keep passing through cost? The cost pass through and some improvement in overall operating income is what we're trying for down there.
Ann Gurkin - Davenport & Company: Right. And Sam, thanks for all your help. I've enjoyed working with you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: So have I, Ann. Thank you very much.
Ann Gurkin - Davenport & Company: Thank you.
Operator: And we'll take our next question from Ken Zaslow with BMO Capital Markets.
Kenneth Zaslow - BMO Capital Markets: Hi. Good morning everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hey Ken, how are you doing?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Kenneth Zaslow - BMO Capital Markets: Good. First of all, again we wish you a great retirement and we'll clearly miss you as well. So thanks for the years of helping us out.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well Kenny, thank you. And I've to say, I don't know that I will not be on this next call, I expect though that this is not the farewell. I am going to be back to... and Ken, before you ask the question or Cheryl asked... Cheryl made comments on the new CEO getting the strategy. I am busting my rear end right now to make sure we get the movement forward in this company. We'll continue to do so until the day I walk out of here and there is no day assigned to that. So you may hear from me again, come April and I hope you do, and you probably hear beyond that.
Kenneth Zaslow - BMO Capital Markets: We hope you are going to be raising numbers and delivering on expectations.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes, I can't imagine you ask me for that, Kenny.
Kenneth Zaslow - BMO Capital Markets: Cheryl, just a quick question. Your outlook in terms of you being with the company and your comfort level there, I am assuming Sam's transition is not going to change your future there or you still consider yourself part of the organization, is there anything that we should be thinking about in terms of your potential retirement or anything?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Not that I am aware of.
Kenneth Zaslow - BMO Capital Markets: I just want to make sure... we want to make sure that the rest of the management sticks by.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: If you could have seen Cheryl's face when you asked that question, she's not going anywhere.
Kenneth Zaslow - BMO Capital Markets: All right, good.
Cheryl K. Beebe - Vice President and Chief Financial Officer: I will answer that, I believe the Board has tremendous confidence in me and I have tremendous confidence in the Board and the organization.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: And let me further... let me further on that. The Board has expressed confidence in the entire management team, the senior team. I have as well and certainly have said to them that we have a team in place to move this company forward. And I am very, very comfortable with that. If I were not, I would not be considering retirement right now.
Kenneth Zaslow - BMO Capital Markets: Okay. Sam, it sounds like you are... maybe I am reading a little bit into, a little bit more optimistic about South Korea than you have been in terms of... there seems to be more of a game plan there. What is it that you are gaining confidence in South Korea or is it just same old that we'll just see how it plays out. But it sounds like you are trying to have more of an action plan there?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, I think two things Ken. We have the team in place now that's starting to execute more effectively than it was before and that in and of itself makes me feel confident.
Cheryl K. Beebe - Vice President and Chief Financial Officer: The new folks [ph] coming up in a year.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes, the new folks out there joined. I guess, the general manager came in this late spring something like... early to late spring, the CFO came in right after that, around May, because he joined when we had our royalty meeting. They are learning the business and they are doing some things that they need to do and they are pushing for more specific accomplishments in doing some of the things, evaluating corn options, freight options, movement of different products, the price increase that I mentioned pushing before and are prepared to take some risk on volumes, where perhaps before, we weren't quite ready to do it as much as we can now. So, I feel more comfortable. I know, John has jumped into that one full tilt. He is back and forth to Asia on a regular basis these days, bringing teams together and making sure they execute. So there is some degree of confidence that we can start turning this thing around. I don't mean to imply that's fixed, nor do I mean to imply that it's going to be back to where it was before this year. But I think we can start working it forward.
Kenneth Zaslow - BMO Capital Markets: And you said that you are looking at the cost structure. Does that mean that there is restructuring to be done? What does that mean?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It just means, we have to look at all of our costs in the business. I am not saying anything we are going to do, but certainly if there is any cost factor that we can take out of the business, we want to do it.
Kenneth Zaslow - BMO Capital Markets: Okay. And in Mexico, you said that, we're going to be running at full capacity, volumes should be up. Does that also imply that profitability should be up in Mexico?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No, it just means that... I am not going to say profitability will not be up, but that was not the implication. I said that primarily because there had been a number of rumors out there that we have lost position in Mexico. And I want to make sure that everybody understands that our Mexican business is solid, if not more solid than ever before. If the market doubles in size, which it could, we will probably not have the same market share we had before. But we are running our plants in Mexico basically full up and we are shipping the product to Mexico from both the U.S and Canada that we want to. And I want to make sure that folks understand that, because that was the intent of those comments.
Kenneth Zaslow - BMO Capital Markets: But at this point, you are not comfortable saying that. Can you say that profit in Mexico should be strong, solid, up, anything?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It's going to be strong and solid. As far as directionally, we tend not to comment on that except for the region and the region will be up.
Kenneth Zaslow - BMO Capital Markets: Okay. So... okay, good. And then the other question I have is in terms of the spread between sugar and high fructose corn syrup in the U.S?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes.
Kenneth Zaslow - BMO Capital Markets: Where do we stand and how do you see that playing out over the next couple of years? That's a big question I get from investors repeatedly.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, I think certainly, we are getting closer to it with the price moves we've had. But there's still some room in the U.S. and I guess the big thing Ken is and I think I've said this on the calls before, as the ag complex goes higher, up until recently sugar had not followed, it will. And I think most people are saying and it's starting to come to reality now and it's moved up, I don't what the price is today, but it has moved up 30% in the last month or two, and I think you're going to continue to see that, which will almost by definition bring up the U.S. price even though we have price support already. If it gets tighter, as we saw a couple of years ago, the stock market on sugar in the U.S. was up in the $0.40 range. So I think you're going to see it move which would give some headway. Also you know, in Canada, we are up against world sugar. With the movement that's taken place there, we benefit by it. And we also benefit by higher sugar prices all around the world. So I think we will continue to see that. We obviously operated in '07 at good levels with lower sugar prices, but I think as it moves up, we will benefit.
Kenneth Zaslow - BMO Capital Markets: Great. I appreciate it. Thanks.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you, Ken.
Cheryl K. Beebe - Vice President and Chief Financial Officer: You are welcome.
Operator: And we will take our next question from Christine McCracken [Cleveland Research Company]. Please go ahead.
Christine McCracken - Cleveland Research Company: Good morning, Sam.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: How are you this morning?
Christine McCracken - Cleveland Research Company: Well.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Christine McCracken - Cleveland Research Company: Sam, since you are going to be around a while, I will wait to--
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Christine McCracken - Cleveland Research Company: Just on corn, there has been a couple of countries here that have put some positives in place to kind of what appears to be hoard corn. Is that a big deal for you, when you look around the world and I don't know, if there is specific instances where you are seeing that impact your business that maybe you can just talk to that?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No, it doesn't, really it doesn't impact our business at all. China is the only one, not the only one, but is one of the ones that's hoarding it and that is not bad for us, even though we were... we would every now and then bring corn in from Korea. But the flipside of that is the fact that if they are hoarding it, it means that they are not going to be exporting all over the world and since you know, we are selling products everywhere in the world, we saw China coming in at times in some of our countries and this is going to be beneficial to us from that point of view. Where everywhere else it's being hoarded, if in fact we are operating there, it means we get cheaper corn in country because they are not exporting it. But where we need to get corn into places where the export capabilities are there, we generally are importing from places like Argentina, the U.S. and Brazil, and those countries have not put any kind of policies in place to stop the exports.
Christine McCracken - Cleveland Research Company: And just in terms of the U.S., when you look and now that we're getting a little closer to planting time. Do you agree with I guess the current outlook, for a swing into soybeans or do you think that some of these other factors, higher fertilizer costs and the like are going to have an impact on the shift for this year? What are your expectations I guess, now that we are... it's still early, but what are you forecasting in terms of U.S. acreage of corn?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think there will just be a very slight reduction in acreage of corn this year. I think it's perhaps overemphasized as to what's being stated up to this point. But, the big question marketing, Christine, is going to be weather. I mean, and if in fact we have a reasonable weather going through the season and farmers can get the corn into the field, it's fine. If in fact, we have a rainy season, they miss it, then they'll have to shift it over to something else. But I mean, the last few years, the weather has been accommodating to all of the crops and all things being equal, I think there may be a slight shift away from corn, but not much at these current prices.
Christine McCracken - Cleveland Research Company: Just when you look at... now we are in a pretty tight global corn situation, does that change how you look at how you manage that exposure at all, or are you kind of sticking to your kind of historic, I guess, risk management program when you look at corn?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, as far as the risk management program goes, and how we hedge it, we won't change that at all and certainly where we have the market position that we have around the world, we think the model works well for us. And particularly, if we're not up against sugar and a fructose environment as is the case in most of South America and most of Asia for that matter. I didn't mention in the prepared text that in North America, we have shifted more of our business to either grain-related or grain-related with multi-year contracts or fee-related or something of that nature, which takes the risk away from us on the movement of corn and because of the tightness in the overall market, the customers have wanted to move in that direction. And they believe they can cover their own corn as they want, which is then something that we are fine with. One of clarifications around that, because there was some confusion at mid-year, in so doing, we also pass either the co-product credits... not either, the co-product credits to the customers and if they are good or bad, the customer gets the return on the co-products on that portion of the business we do as grain-related. But that's been the shift that we've made to move more of our North American, U.S., Canadian business to grain-related or fee-related contracting.
Christine McCracken - Cleveland Research Company: Thanks for that clarification. And then just one last question; when you look at, you don't just process corn, you look at some other starch sources too. And we've heard some commentary lately that some acreage might be coming out of these other crops as corn prices and some other commodity prices are more attractive. So that's shifting some acreage in other parts of the world. Is that affecting... aside from your corn-based business, is that affecting other commodities that might impact your margins outside the U.S.?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We have not seen a shifting... it's primarily tapioca that you'd be talking about Christine, and we have not seen the shifting away from the planting. What we have seen, which is a positive and a negative, is that the need for starch in general worldwide is growing dramatically. So we are seeing tapioca being shipped from some of the places that we have it. So our prices on the tapioca whereby it might have been a lower price, because it couldn't go any place, is now going into prices higher. The good news behind that is, since the starch prices are... that the market is that tight, spot prices are going up. So we can generally pass it through in those parts of the world as well. So I think certainly the tapioca business in Thailand is still solid, strong and we are looking to capitalize on the environment in the Southeast Asia and the rest of the world as a result of it.
Christine McCracken - Cleveland Research Company: Okay, I will leave it there. Thanks.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you very much.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thank you.
Operator: And we will take our next question from Christina McGlone with Deutsche Bank.
Christina McGlone - Deutsche Bank: Good morning.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Dave Prichard - Investor Relations: Good morning.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Good morning, Christina.
Christina McGlone - Deutsche Bank: Sam, can you talk about higher volumes in Mexico? Could you also talk about the pricing environment and also the fact that corn can now go freely, I believe between the U.S. and Mexico. Does that help you on the cost side?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We didn't have any problems before with corn going into Mexico. We always had the allocation available and the price on it was not impacted as a result of that. I certainly don't know that we'll see anything beneficial on it. As far as the pricing goes, I think the pricing in Mexico as we had said last year, as a result of the market opening up, folks are coming into that marketplace. It will be a little bit more competitive than it has been in the past. But I think the flip of that is, we gain in the North American market in this entire context, because we are seeing tighter utilization in the overall. Secondly, we have because of our positioning in Mexico, we have very strong positions down there on all of our product lines, particularly high fructose corn syrup, and the market is relatively tight. So we have not been impacted much at all on the pricing side.
Christina McGlone - Deutsche Bank: Okay. And then when you were answering Dave Driscoll's question about the investing swing capacity here into new channels, what other areas are you going into? Are they new or are they existing areas that you are expanding?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Where... well, it depends upon where we are speaking specifically, because --
Christina McGlone - Deutsche Bank: In the U.S. and Canada.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: In the U.S and Canada, we would be looking at some specialty spot channels where we can in other operations that I don't particularly want to go into in the call, because I'd be identifying where we are moving. But certainly, there are opportunities that we see in our U.S., Canadian plants that we can shift grind to other product lines or across the expense [ph] ventures or whatever other kinds of things you might want to evaluate, which we talked about in the past, that all of which we are looking at and the right ones we will capitalize on.
Christina McGlone - Deutsche Bank: Okay. And then you have talked about improvement in the Southern Cone for 08 and that was... that results were pretty mixed there in 07. What gives you the confidence that they will improve in 08?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, first off, they've got better corn... a better corn crop coming down there. So our raw material costs will go down a little bit. There've been some investments, not enough but some investments in infrastructure so that the energy complex is more reliable, which is important to us. And then thirdly, with the world sugar prices going up, we are seeing even though there is a cap on sugar down in Argentina, as that oil price goes up, that cap goes higher and we see an advantage to that. So, you put all of those things together, and we see the Southern Cone opening up a little bit for us going into 08.
Christina McGlone - Deutsche Bank: Okay. And then I guess last question. Cheryl, do you have any guidance for tax rate in 08?
Cheryl K. Beebe - Vice President and Chief Financial Officer: I would say 35 to 36%.
Christina McGlone - Deutsche Bank: Okay. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Operator: And we will take our next question from Heather Jones with BB&T Capital Markets.
Heather Jones - BB&T Capital Markets: Good morning.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi Heather.
Heather Jones - BB&T Capital Markets: Congratulations on the quarter.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thanks.
Heather Jones - BB&T Capital Markets: I had a couple of questions. I was wondering of South Korea, just wondering if you were able to break down the shortfall there, like roughly how much of it was due to higher freight corn and then how much was volume? Just as freight has come down recently, just trying to get an idea of... so we could track that area?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Heather, we've not said specifically what the break down was, obviously corn is up, delivered in price of corn is up substantially. Part of that is the premium for GMO free, part of it is the actual price of corn itself and part of it was freight. And you're right, the freight numbers I mean, the index has broken. The actual freight numbers always take a while to break behind that. So we have not necessarily seen a substantial break with any at all on the freight side. Volumes have been impactful for an extended period of time. We've talked about that and as the business prior to the run up in corn had started to deteriorate, and we talked for a couple of... almost years, on the fact that the volumes are going down, because we saw a very little if any, economic growth of the country. We are forecasting a bigger hit on that going forward, because we are going to more aggressively move prices to recoup the corn numbers. But we have not given a split of how much each one was. The freight complex, you can always look at and see what it is. We've talked about it going up at 1.30 and then 50% and those numbers are real and you know what that is and you know what, the corn number has gone up. So it's something that you probably can back in so without us telling specifically what it is.
Heather Jones - BB&T Capital Markets: When you say you are going to be more aggressive on pricing, are you going to be doing this alone or do you sense that your competitors are also going to become more aggressive on price?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, if we do it alone, I don't have to worry about the volume going down. It will go down like a rock. Hopefully, people follow us. We will be moving price into the marketplace. We've attempted price moves already. We've gotten one through; we have to get another one through. We will follow it on the first. But I think it's almost just plain business. If your corn has more than doubled and your prices haven't gone up, none of us will survive in that marketplace. So I think basically, it's going to be almost, you price for survival kind of a scenario and you hope your customers take it through. The reason for the volume hit is because in some instances the customers may shift. They may try to do something else. But I mean certainly, as I mentioned earlier, the world conflicts on starch, if starch goes up, that will be... that will impact imports coming into the country as well as if China does what it says it's going to do, that will impact it. So, we see an environment where we think we can move on price and we are going to push and see what we can do.
Heather Jones - BB&T Capital Markets: Okay. Now as far as your 08 guidance, what is that... does that assume current by-product pricing? I understand that a number of your contracts are tolling where you don't get the benefit of by-product. But for the remainder of that you do get the benefit. Does your guidance assume current prices, or are you assuming some easing there?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We have taken into account the best information we've been able to get on co-product and by-product pricing, which says that... we are trying to get from any at all the experts, where they think it's going to go. And obviously, the top side of the guidance would take into account, volume and pricing of co-products and pricing of... raising the prices that everybody has talked through. The bottom side of it would be it goes in the opposite direction, when all of those things go, through what we think would be a bad case scenario. If it blows out of those ranges, obviously, we will be back at you and give you some different guidance on it. But I think right now, we have forecast a slight moderation in the overall co-product prices.
Heather Jones - BB&T Capital Markets: And just, what you're saying is, you anticipate just a slight reduction in corn acreage, then potentially corn prices could come down and byproduct prices could come down, so is it that --?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: If we are right in that, yes I think that we could see corn prices come off. Because I think right now, you are seeing a competition amongst the commodities for acreage and once that's decided, as long as the crop is looking reasonably good, we could conceivably and particularly, we go into the world... the world slows down in the economic front, you could see prices of corn come off and as result co-products come down. And again, that's why we in North America have, where we have our corn fixed, we have taken a position on grain and fee-related businesses to be able to moderate that risk.
Heather Jones - BB&T Capital Markets: Okay. And the volume reduction you saw in Q4 in North America. I think you already stated this, but I missed it. Did you say that was largely due to sweetener side?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Some of it was due to the sweetener side. I mean, I think some of the volume miss in fourth quarter had to do with where the holidays fell. I mean, it was a very unusual holiday period and we saw a slowdown of volume towards the backend of December that was quite substantial and it was not inherent in the business, because obviously things came back, and... I shouldn't say obviously, they came back in January. So we ran very well up to a certain point of slowdown. We also and this is a guess on my part, and I have to qualify it as such, but I think there may have been some inventory adjustment on the part of our customers that we can't say for sure, but it sure looked like that to us. So those things would be volume hits in North America that would just be temporary in nature.
Heather Jones - BB&T Capital Markets: So based on what you are seeing in January, it looks like Q4 result shouldn't carry forward unto Q1?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Q4 results were pretty good. We had a pretty good volume --
Heather Jones - BB&T Capital Markets: I mean, volumes --
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: On volume --
Heather Jones - BB&T Capital Markets: In North America.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: On volume, I think that in North America, the volumes are coming back reasonably well, and I won't say that we are looking for boom here by any stretch of imagination. And I just meant to put a wrap around the back end of December with what I said. But I think certainly, it was not a situation where we saw just a fall off that we believe is in the business. Now having said that, I think I commented earlier, we are seeing a slowdown on the industrial side of the business, as the economy slows down, and that we will feel in the first quarter and going forward of this year. And we are working to accommodate that in the other side of the business and moving products out of the country, but that is a real situation.
Heather Jones - BB&T Capital Markets: Okay. Finally, you are taking about capacity out of the sweetener side. Is that something you've already begun or something you are planning to do?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, in some instances we've done it already, and in some instances we are looking at opportunities to move it in different directions. But at the same time, our volumes on sweeteners are very solid right now and we have to supply and will supply the customers' needs to make sure that those folks are being taken care of, because that is the biggest part of our business right now. So we will not... we are not going to be aggressively moving away from sweeteners, trying to make changes as we speak in 08. There is still a very strong business out there on the sweetener side.
Heather Jones - BB&T Capital Markets: Okay. Thank you very much and congratulations again.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you very much.
Cheryl K. Beebe - Vice President and Chief Financial Officer: You're welcome.
Operator: And we have one final question from Mr. Driscoll with Citi.
David Driscoll - Citigroup: Great, thanks a lot. Just a quick follow-up; Cheryl, is there anything... I know you don't give the quarterly guidance, but is there anything funny with the quarterly pattern that you expect for 08 that you would want to make us aware of right now?
Cheryl K. Beebe - Vice President and Chief Financial Officer: No. I think at this point, it looks fairly consistent throughout the year.
David Driscoll - Citigroup: Okay, super. Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: You are welcome.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Dave Prichard - Investor Relations: Operator, we have time maybe for one more question, if there is one.
Operator: Yes. Pablo Zuanic with JPMorgan; please go ahead.
Pablo Zuanic - JPMorgan: Yeah, good morning everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi Pablo.
Pablo Zuanic - JPMorgan: Sam, maybe I missed this comment, but did you tell us what happened with the price contracts I mean on the fixed price side, now that you've closed it. I know with a shaky season, was it 10%, 15%, can you comment on that?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Pablo, we did not say what that was and we tend not to give specifics only based on the fact that we have customers that are above it and customers that are below it. So we try to avoid saying exactly what it was. We try to accommodate that question in saying the entire book of business that we have in North America was up low double-digits. We've said in the past that the price increases in the marketplace were up in the low 20% range and we said that we felt good in the accomplishment of contracting that we did. But we've never given... we have not this year nor last year, gave specifics as to what we actually ended up with on the annual contracting.
Pablo Zuanic - JPMorgan: Okay, thanks. And just a couple of follow-ups. One follow-up on the last question, I mean, you should know this by now, but in the case of co-products, is that something that you can sell using futures or that's always want to be sold just using spot prices i.e. could you be making use of corn futures right now to sell some of the co-products forward?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It's very difficult to do Pablo, what we end up doing where we can is in fact we have customers that want to go out for a month or two or three. We will contract with them on a contractual basis, business contract basis. But there is no market that we can go forward on futures with co-products.
Pablo Zuanic - JPMorgan: Okay. And just one on Mexico. Just give us a sense of the flexibility you have on the capacity utilization side in your U.S. and Canadian facilities because one the hand, we hear that you are running at full capacity, right and that the industry has been able to rationalize capacity. So that's good for your negotiating power in terms of pricing. But then, if Mexican demand materializes on the high end of the expectations, where is that capacity going to come from? How are you going to respond to that?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think certainly the issue on Mexico for us would be, we would have to evaluate at least probably not, but evaluate the expansion or the bottlenecking of our channels down there, which we could do if we needed to do and we could put money behind it. Certainly, in the regional businesses around the world, there are ways, if we wanted to and if the prices were right, to be able to get more production out of our current facilities. When you run a facility today you optimize your cost and that's how we are running right now at the rates you mentioned. If we decided to throw more enzyme at the product or run at different temperatures, which would cost us more money, we can get more production out. So the balance will have to be that the incremental volume would afford us better profitability in the overall to do it. And that's how we would get more product down there, if we needed to.
Pablo Zuanic - JPMorgan: Okay. But just a follow-up there, I guess I am trying to think relative to your competitors, your capacity utilization in the U.S and Canada, let's say, it's similar across the industry.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Right.
Pablo Zuanic - JPMorgan: And you have a lot of idle capacity in Mexico, you will have an advantage? But would that be the case, that you have idle capacity in Mexico?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No. Our Mexican business is running very strongly and I think I commented, it's running very close to capacity utilization right now, with all three plants running well. And I mean in fact we would see further conversion in the Mexican market that would further tighten up the North American market, which will benefit us and then we would figure out how we got more capacity out.
Pablo Zuanic - JPMorgan: Okay. And for me, one last one; are you... compared to say, three months ago, are you more or less optimistic, in terms of the demand outlook for Mexico and the reason I ask I think PBG in their last conference call, they said they were not switching to HFCS. So I am just trying to get a feel for that on your side.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We have not... we've seen a number of customers in Mexico switch. And we are very comfortable with our volumes in Mexico right now. As I said, we are selling more down than ever before. So, I think there will be a conversion over time, because some of the customers were waiting to make sure the border opens up and product was available. So I think you're going to see during the course of 08, more and more customers look for fructose, if they can get it. And as we see that happen, as we see people calling up and say, we want it, then we will figure out how we get more and I think then we'll see product coming in from the U.S. also.
Pablo Zuanic - JPMorgan: All right. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you very much.
Dave Prichard - Investor Relations: Operator, with that, I think we are going to close down the call, and therefore on the basis there probably are no more questions and so we will go ahead and conclude our conference call and our webcast this morning. I do want to remind everyone that a replay of the webcast can be accessed at our website, cornproducts.com and there is an audio replay of the call, through Friday, February 22, and you can call for that at 719-457-0820, and the passcode of 3581410, that's passcode 3581410. So on behalf of Sam Scott and Cheryl Beebe, I want to thank you for participating in our call this morning and we will talk to you again in late April, with our 2008 first quarter results. Have a good day.
Operator: We thank you for your participation and have a wonderful day.